Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Brookfield Asset Management 2014 Third Quarter Results Conference Call and Webcast. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions). At this time, I would like to turn the conference over to Amar Dhotar, Investor Relations for Brookfield Asset Management. Please go ahead.
Amar Dhotar: Thank you and good morning, ladies and gentlemen. Thank you for joining us for our third quarter webcast and conference call. On the call with me today are Bruce Flatt, our Chief Executive Officer; and Brian Lawson, our Chief Financial Officer. Brian will start this morning, discussing the highlights of our financial and operating results. Bruce will then discuss our views on the current investment and market environment, as well as a number of our major growth initiatives in the quarter. At the end of our formal comments, we will turn the call over to the operator to open the up the call for questions. (Operator Instructions). I would, at this time, remind you that in responding to questions and in talking about our new initiatives and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For further information for investors, I would encourage you to review our annual information form or our annual report, both of which are available on our website. Thank you; and I’d like to turn the call over to Brian.
Brian Lawson: Thank you, Amar, and good morning. We reported funds from operations for the third quarter of $564 million, $0.83 per share and net income was $1.1 billion, or $1.09 per share. These results reflect continued growth in the cash flows and values within our business and in particular our asset management operations. I’ll start by breaking these results down for you. FFO included $362 million from operating activities compared to $342 million in the prior year. This presents an increase of 6% however, I would note that the prior period included the impact of exceptionally strong pricing within several of our more cyclical private equity investments, the impact of above average water flows on our power operations and the inclusion of a large catch-up fee within our asset management results. And in contrast, the current quarter reflected below average water flows and the roll-off in late last year of a large lease in Lower Manhattan. So, as a result, the 6% growth really understates the solid progress across virtually all of our operations which I will discuss in a moment. Disposition gains within FFO totaled $202 million for the quarter, most of which came from the sale of a private equity investment in forest product company. In the prior year, we recorded $851 million of gains during the quarter that arose from several large monetizations. The increase in net income quarter-over-quarter reflects a higher level of fair value gains in the current quarter primarily in our office property portfolio as well as increased valuations of our retail properties. These gains reflect growth in cash flows and continued positive leasing spreads within the properties as well as lower discount rates. We continue to experience strong momentum in our asset management business. Our fee bearing capital is now at $84 billion and this is up 14% over the past 12 months. This growth reflects the acquisition of our office property portfolio earlier this year, the continued expansion of public partnerships and meaningful expansion in our private funds. Two of our flagship private funds are more than 90% committed and as a result, we are currently in the market with four funds are seeking to raise more than $12 billion of capital. Our clients continue to allocate an increasing amount of portfolios to realize the strategies and as a result we expect our flagship funds will be approximately twice as large as on an ongoing basis. Bruce will seek further about our ability to attract more capital in his remarks. In the quarter, fee related earnings were $102 million, this is up nicely over the $97 million in the same period in 2013 when you consider that the prior result included $18 million of catch-up fees related to prior periods. Over the past 12 months fee related earnings i.e. our fee revenues after deducting direct costs are up 20% to $346 million and annualized fee revenues increased by 22% over the same period. Turning to the results from our investments in our operating businesses, we had a strong quarter in our property business and in a number of the other segments. Looking at each platform the FFO from our property operations with a $136 million and that’s up from a $121 million in the same quarter last year. Leasing activity was excellent as we signed major tenants to long-term contracts at properties in New York and London with these 3.2 million square feet during the quarter and Brookfield place New York is now 95% leased which will meaningfully increase FFO in 2015 and 2016. And commitments from new tenants put us in a position to launch construction of new office buildings in Manhattan and the City of London. We signed new leases at 47% above expiring rents in our office property in a 16% above expiring rents in our shopping mall business. We disposed 13 properties for gross proceeds of approximately $700 million and a modest gain as part of our continued active recycling of capital. FFO from our renewable energy group was $28 million, this is a decrease of $29 million over the comparative of same quarter last year and this was due to reduced generation levels. In the current quarter, generation was 13% below long-term average compared to last year when the results were 4% above long-term average generation. We continue to invest in growth initiatives in the business including investments in three hours wind farm that would be operational within the next year and in terms of additional development add on to the portfolio acquisition that we made earlier and a Brazilian Hydro project that should begin producing electricity in 2016. In our infrastructure business FFO was $55 million, that’s in line with expectations in 12% higher than the 2013 quarter on a same store basis. We achieved favorable growth from development initiatives and growth in the revenue streams. We closed approximately $1 billion of investments during the quarter including a Brazilian low cost business and a California natural gas storage facility. In our private equity business FFO declined somewhat to $110 million that reflects the impact of lower prices of several of our more cyclical businesses but on the other hand we experienced continued increase in FFO from our North American residential business. Our private equity group committed $540 million during the quarter to the acquisition of natural gas reserves. This is the latest in a series of investments in a sector that has created a company that’s among the largest in North American coal bed methane businesses. Finally the Board of Directors declared a quarterly dividend of $0.16 per share that we paid at the end of December. And I will now turn the call over to Bruce.
James Bruce Flatt: Thank you Brian and good morning everyone. As Brian noted we had a good quarter, our results were good and we advanced a number of strategic items in the business. We did make commit or make a number of large investments during the quarter in property we had both the large portfolio of buildings in India and a significant net lease commercial property business in United States. We think both of these transactions will lead to great opportunities for organic growth overtime. In infrastructure, we committed to acquire a telecom tower business in France which we believe will be a platform for consolidation in the future. And in the last few days, we joined the Qatar investment authority and made a proposal to acquire the balance of Canary Wharf and its publicly listed holding company that owns shares in Canary Wharf. This bid was publicly disclosed yesterday by the UK listed company and at this time, we cannot comment further in the question period due to regulatory requirements but as most of you know, we and QIA are the largest owners of Canary Wharf, we jointly own about 43% of Canary Wharf on a look through basis and have been owners, both of us have been owners for over a decade. We continue to see interest in the investments we make for all of our clients and I point to a handful of trends that we believe we need in our favor in order to continue to grow the offerings the investments that we make. And I’ll address a few of them for you here. The first is institutions continuing to allocate capital to real asset investments and in this regard we are confident that this will continue. Our observation from dealing with most global institutions in sovereign funds is that real asset allocations actually continue to accelerate at a quick pace. The simple reason is that the alternatives for investment are somewhat bleak to make the point we offer 8% to 20% yields with moderate risk, contrast that with bonds that offer 1% to 3% yields with the chance of capital loss in the future. There are of course many other reasons for these increased allocations but the math I just explained gives the simplest rational. The second item we need for growth is our continued ability to deploy the vast amounts of capital we have while maintaining solid returns for our clients. In this regard, we have invested close to $20 billion in the past year, we think of many of these investments will turn out as exceptional investments. To be very specific this has been during a period when we have heard many times that there are no opportunities out there. One reason for this we would offer is that we can invest in very large transactions. Most people cannot commit to acquire for example a $4 billion transmission power business, a $4 billion net lease portfolio, or be involved in a $10 billion acquisition of real estate. Furthermore, our franchise is large and global and few people can shift, have the luxury to be able to shift capital and people from markets which are with excess capital to those which are under served, in order to capitalize on the lack of capital in those markets. To use an example our acquisitions today are in contrast to many of the investments available otherwise. For example if one is looking to acquire a property or infrastructure investment that requires a $100 million of equity in a gateway U.S. market there will likely be an auction with 30 to 50 bidders showing up, but this is not too relevant to us as we don’t generally spent time on any of these opportunities. This is in stark contrast to 2009 when we shifted virtually all of our capital to these developed markets like the United States and Australia because they had declined significantly and we were buying at substantial discounts to replacement cost. The number of acquisitions we can complete is always the most unpredictable but we see no reason that we cannot deploy the capital we have into solid opportunities globally in fact we could easily make the argument that we are far better setup today to deploy the capital we have than we were 10 to 20 years as our global offices continue to mature and our investment people across the globe are further integrated into our culture. The third trend that we have in our favor that we need in our favor for success, our positive global business conditions. Of course this is clearly outside our control but our observation is that over the past 10, 20, 50, 100 years, the global economy on average is continue to grow on the health and wealth of individuals across the world has improved, we believe this will continue. The assets we buy are the backbone of the global economy and despite some trying times and downturns which are inevitable, we believe that we will be able to endure these markets and sometimes even advance our cost when periods of global economic disruption and consolidation occur. In this regard I will end my comments with three about the global markets. The first is that all indications in our businesses have been and still are that the U.S. economy is growing faster than otherwise believed. With gasoline prices down this should accelerate retail sales in the fourth quarter which is not factored into most expectations. In addition eventually the pause in housing sales will end and sales numbers should resume and march slowly towards 1.5 million sales of homes, this will be positive for the U.S. economy. As a result our view is that the U.S. will record good GDP growth in all of our assets in the United States will benefit. The negative is that we will not be buying a lot of assets in the U.S. in this period as capital as freely available and buyers are bound. But exits will be easier and we continue to selectively harvest capital in all of our developed markets. The second comment is on the three major emerging markets Brazil, India, and China. There continues to be a lot of uncertainty in many investors mind about these markets. For short-term investors, those views are likely correct. But for the longer term investors, the scarcity of capital, the lack of interest by many and the number of transactions completed in more robust times it must be recapitalized offer some phenomenal opportunities. Bottom-line for us this means we will be making many more investments in these markets on top of the large list over the past 18 months, exits likely will be limited and we will be working our own operations hard to squeeze value out of our business in this environment. The third market I will address is Europe. This large market will not be about growth for a long time in our view as a result, we underwrite all transactions expecting very low growth and a declining currency. Despite this there are many opportunities to buy assets for value and earn very good returns. As a result, we will also continue to allocate greater amounts of capital to these countries when returns can be earned assuming low growth and with a hedged currency position. With that operator, I will end my comments and ask you open the lines for any questions if there are any.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question today comes from Cherilyn Radbourne of TD Securities. Please go ahead.
Cherilyn Radbourne: Thanks very much and good morning. Wanted to ask you a couple of questions related to the transaction that was announced yesterday, starting with just if you could tell us how you think about telecom because it does have an obsolesce factor associated with it which makes it somewhat different from what you’ve done traditionally?
James Bruce Flatt: Yes I would just say the following, I guess our view is that what’s in the infrastructure business what we’re trying to invest into our assets which are the backbone infrastructure of the economy across the world. And we view that telecom infrastructure towers which are really carrying the vast amounts of the technological improvements that are occurring in the world are excellent investments and that overtime they’re unreplicatable. And if you can get a whole, get invested in some of them they will endure time and they will be excellent cash generators and overtime you’ll be able to continue to participate in this technological improvement it’s going on because all the capacity – a lot of the capacity goes through those towers. So we weren’t invested in the United States in past and as you know as you probably know there is a number of very high quality companies in the U.S. alone but there is other places in the world where we think they, we can benefit from the knowledge we have about them in the U.S. and other things. And while in some cases there is more CapEx involved, we think that the returns will be excellent.
Cherilyn Radbourne: And so when you have a transaction like that which involves the Brookfield infrastructure fund if and some third party partners. Can you just speak broadly about how you deal with issues like operational control, governance and the distribution policy?
James Bruce Flatt: Yes, so all these investments I think most people on the call know is they made through our – this one specifically gets made through our infrastructure fund and the portion of the capital that Brookfield capital is invested from Brookfield infrastructure partners, the listed entity. And I’d say and we have partners at the asset level who invested beside us. So we’re all interested in the same thing bottom-line. We’re interested in growing the capital, the distributions in this entity earning decent and strong yields overtime. And we have various arrangements where if we need more capital business or want to grow it we can do that within the business. Of course, there may be times when and this is happened in past when there are institutions we have that or a fund that’s fully invested and what we do is just continue those investments in the next successor fund, but obviously offer any partners we have co-investment rates. So it’s a pretty tested pattern we have.
Cherilyn Radbourne: Okay thank you. That’s my two.
James Bruce Flatt: Thank you.
Operator: The next question comes from Mario Saric of Scotia Bank. Please go ahead.
Mario Saric -Scotia Capital: Hi good morning. I was reading the letter to shareholders with interest and specifically under the long-term plans action looking at kind of a target evaluation for the asset management business of $45 billion within 10 years number surely big enough that can stand on its own, I’m just wondering valuation aside, how do you see the structure of that franchise evolving overtime and if we look 10 years though it is more likely even not that your asset management business is a standalone company going forward.
James Bruce Flatt: Here’s what I would say it’s Bruce. Our view is that we should do the best thing to maximize value for the shareholders of the company. And we’ll do that overtime and assess it. Today we see great value having the capital associated within our asset manager clearly aligns our interest with our clients. And that’s a big advantage we have. Whether that changes overtime and whether we should separate capital or distribute more capital back to shareholders. We think of it all the time, the Board considers it all the time. And as you know we have from time to time made special dividends back to shareholders and we’ll continue to do that. So we’re open to suggesting although we have no plans to do anything to the main structure of Brookfield Asset Management as we speak.
Mario Saric -Scotia Capital: Okay. I’m just curious that when we look at your Investor Day presentation your 2018 loss per share about 32% of that is related to the GP as opposed to investments in other stuff. So I’m just kind of curious or wondering whether there is a magic number there where you think that 32% you get full credit for an asset management business that’s growing at 15% to 20% per year or is the magic numbers of 50% or 75%.
James Bruce Flatt: Here is what I would say. We don’t think about these things in the short-term. It’s highly possible that you might be able to in the short terms put things apart and make more money next week in the stock market, but our decisions that really made over looking at on the next, over the next 10 or 15 years in the business model is that a good thing to have capital tied to business or not and to the extent it is, we’ll keep the capital tied to the business that’s been the decision so far. If it isn’t then we’ll split it apart. And we’ll just have to where that gets valued in the market and the short-term isn’t too relevant in our minds to the long-term decisions of how we make them because these are very long-term businesses.
Brian Lawson: Yeah and the one thing I’d add to that Mario it’s Brian is I think it’s one of the points we’ve tried to stress over the past while as we do have tremendous flexibility in that balance sheet capital. So overtime, we have the ability to respond to the factors that Bruce was alluding to in the context of the circumstances at that time. And so we can assess on an ongoing basis where the 32% is the right number or maybe that is the dollar number or just what the business looks like in that. So we do have the latitude to adapt as we move forward.
Mario Saric -Scotia Capital: Okay. And my second question would just be with respect to your comment on increasing allocations to real assets and it seems like the primary driver behind that is just the ultra-low interest rate environment. Based on your discussions is there a magic number where that changes and so the 10 years that 2 to 2.5 if it goes up to 4 to 4.5 is that the number where institutions dramatically say that number make expense for us we’re going to contract our allocations to real assets or is it more complicated than that.
Brian Lawson: Of course every institution has their own dues and so I’d say it’s definitely more complicated than that but my contribution there to try to answer your question I’d say that. These institutions are getting introduced to real assets because interest rates are low. I don’t think that’s ever stopping. Our belief is the global allocations will continue to increase and there’ll become a greater amount of institutional clients and as you know somewhere at 50% already, somewhere at more than 50%. If rates go to 10% on the backend there is no doubt if we’re earning 15% and they can earn 10% in the long treasury. You may not choose to put as much too real assets. I don’t though to the point, our belief is that long rates in United States are going to [46%]. Our business works really well at 46% long rates. And our business and institutional allocations will do very well at 46% at long treasuries. So I don’t think it’s stopping for a long time.
Mario Saric -Scotia Capital: Okay great. Thank you.
Operator: The next question comes from Andrew Kuske of Crédit Suisse. Please go ahead.
Andrew Kuske: Thank you. Good morning. I guess this question for Bruce it’s just on where you are in the face of the build out of your asset management business. And just from a body count perspective and maybe whether we talk about it in terms of geography or product vertical. How much more buildup do you need or there is certain regions of the world that you need to bulk up more say India or China for that matter. Maybe just some color on that whole concept.
James Bruce Flatt: Yeah so with respect to geography we’re in almost every country that we want to be in and have a presence in it. There is no doubt overtime as we make more investments we have to increase our presence in some countries and we do that slowly and as we need it. But most of the places where we want to put capital. We have people and it’s just additional resources to continue to grow the business and we’ll add that on a marginal basis. As to product categories and other investments we could make, I’d say we don’t really have a goal to have any other products within the business other than within each of our sectors from time to time we come across a broadening of what we actually do. So telecom towers we hadn’t invested in before we’ve looked at a long time we could make returns based on U.S. acquisitions and we found one to be able to be invest, I say we’ll add different businesses within and usually we can organically grow those businesses over a very long period of time and once we learn them about those businesses and that’s more where it will tend to put our resources.
Andrew Kuske: So I guess the takeaway is you really view your businesses quiet scalable right now and so if you had an incremental let’s say 25% more AUM there is really not a significant change in your body count.
James Bruce Flatt: That is correct.
Andrew Kuske: Okay, that’s very helpful. Thank you.
Operator: (Operator Instructions) Our next question comes from Bert Powell of BMO. Please go ahead.
Bert Powell: Thanks. Just a quick question on the base management fee percentage. The midpoint of the range is 1.35 and you’re not quite there today. Could you just walk us through the timing around closing that gap and why you keeping below the target range today?
Brian Lawson: Sure and you talking about the private funds I presume Bert.
Bert Powell: Yeah.
Brian Lawson: It’s Brian. So in essence what you observe, what you are seeing is the roll off of some funds that we had launched a number of years ago either that because of was an initial fund for us or because for example our turnaround fund that we launched during event crisis was skewed very much towards Carrie and then had minimal base managed fees which actually turned out to be a very good thing. But as those funds have wind down or in the process of winding down the new funds are at higher base management fees. So I’d say over the next two or three years you’ll continue to see that creep up in fact is probably going to continue for another year or two after that. It’s a gradual process because these are long life funds.
Bert Powell: Okay but what are you’re the funds that you are in the market with today and what you’re getting are very consistent with that 125 to 150 on basis points.
Brian Lawson: Absolutely.
Bert Powell: That’s great. Thank you.
Operator: There are no further questions at this time. I’ll now hand the call back over to Mr. Dhotar for closing comments.
Amar Dhotar: Thank you for joining us today. This concludes our third quarter webcast and conference call.
Operator: This concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.